Operator: Good afternoon. My name is Leone, and I’ll be your conference operator today. At this time, I’d like to welcome everyone to Mogo’s First Quarter 2019 Earnings Conference Call. Please note that today's call contains forward-looking statements, statements that are based on current assumptions and subject to risks and uncertainties that could cause actual results to differ materially from those projected. The Company undertakes no obligation to update these statements except as required by law. Information about these risks and uncertainties is included in Mogo's press release for Q1, as well as in its filings with the regulators in Canada and the United States. Also, today's presentation will include adjusted financial measures, which are non-IFRS measures. These should be considered as a supplement to and not a substitute for IFRS financial measures. Reconciliation between the 2 can be found in the company's presentation today, which is available on its website. And finally, note that all amounts discussed today are in Canadian dollars unless otherwise indicated. I will now like to turn the call over to David Feller, Founder and CEO. Mr. Feller, you may begin your conference.
David Feller: Thank you. Good afternoon. And welcome to Mogo's first quarter 2019 results conference call. I'm joined today by Greg Feller, our President and CFO. We’ve prepared a presentation accompanying today's call, which is available on our Investors site. It was a great start to 2019 against the backdrop of rapid transformation in banking. We continue to advance our digital platform and products and to solidify our position as a fintech innovator and leader in Canada. All our development and innovation starts with a simple question, what is the problem we are trying to solve? Quite simply it's that the majority of Canadians are struggling to be financially healthy. Financial stress continues to be one of the biggest stress factors affecting Canadians and it seems to be getting worse. I'm sure many of you have seen some the recent stats showcasing the current state of financial health of Canadians. Almost half are worried they are not going to have enough money for retirement, and over 40% are over spending so much on credit cards that they are caring a balance which means that their most likely not saving and investing at all. These are staggering numbers that showcase how the majority of Canadians are really struggling in one of the most important areas of their life. While the banks and most of them primarily depend on for financial services are making record profits. This is both the problem and obviously the big opportunity. Globally this trend is leading to a new wave of digital challenger banks. You see what we see an opportunity to use technology to create a more convenient mobile first solution to make it easier to be financially healthy. Among the elements that unify this group is that they are all designing products for a mobile first world and delivering innovative products like credit score, robo investing and prepaid cards that are all designed to make it easier for consumers to do things like control their spending, manage their score or invest. There are now several new fintech unicorns in this category some of which are shown here. Again they’re gaining traction as consumers increasingly look for products to make it easier to be control their financial life. While consumers have access to more apps and solutions to compliment their existing banking products, no one has brought them together into one app. This is our mission and what’s guiding our growth and our roadmap, one finance app that makes it easy in engaging to get financially fit. We are looking beyond single product innovative solutions and focusing on our holistic financial health solution. We all know from own experience that it is a hassle to have multiple accounts and asset manager financial life and we’re looking for the most powerful and convenient way to achieve our best financial life. We’re not just talking about financial health is some abstract concepts, we’ve developed a very specific formula for achieving it i.e. the four key elements of being financially healthy. This is what’s guiding our roadmap and user experience. And this is how we are going to bringing this life for our members as part of how we market mobile. In terms of innovation I actually believe this is one of the most innovative things we’ve done at Mogo and that's actually coming up with this simple formula. In a complicated financial world part of the big challenge for people to get control of their financial health if there's an overwhelming amount of products and information. No one has distilled it to a simple formula alongside the products to make it easy. Rule your spending or it will rule you, this is the heart and perhaps the most important part of financial health. If you are overspending you have no money left for saving and investing. As we all know it doesn't matter how much money you make whether it's 30,000 or million dollars a year it’s easy to overspend and end up with nothing left for building wealth. Or worse end up with lots of consumer debt. So for the majority of Canadians that are looking to improve their financial health, controlling their spending is perhaps the most important area to focus on. Study show that on-average consumers will spend about 20% more with their credit card then if they use their own money. Our goal with Mogo spend is to have the most powerful tool in Canada to control spending. Though although people can use a debit card to get more control than their credit card they’ll be missing key features like our instant notification that help you stay on track and mindful of every time you spent, as well as our best in class cash back that isn’t available in any debit card in Canada. The feedback from our beta testing continues to be excellent. I can share my own personal experience of getting $65 cash back in April with my card versus zero dollars if I had used my bank card which is my other option if I wanted to use my all money. Not to mention my bank charge is about $15 a month versus zero for Mogo. Again this is all about making a meaningful impact on someone's financial health. In Q1, we continue development work on our new Visa direct load option. as well as feature that gives users the ability set up automated loading on their payday or whenever they choose. We’ll continue to gather data on the feedback from our beta users and hope to more broadly roll this out by the end of this quarter or Q3. Mogo spend ties into MogoWealth as only by controlling spending will you have enough money available to save and invest. The second part of the formula to financial health is save and invest wisely. When any of us invest what are we looking for, the best investment products and the most effective strategy. Our objective is to bring together a range of best-in-class products along with the information and ongoing coaching that someone needs to stay the course. Robo investing and ETS savings account so, that our members can easily begin investing and saving all within the same app and have access to best-in-class solutions. For millennials the stat show that only about 18% are confident in their investing strategy some look for advisors but increasingly the stat shows the majority of professional money managers and financial advisors underperform the market and specifically the S&P 500 benchmark over the long run which is why we're seeing a continued outflow of mutual funds into low-cost ETFs. One of the key points we will be emphasizing in our marketing is how powerful regular investing is key to long-term wealth creation. For example, investing as little $75 a week and make you a millionaire, if you begin investing early enough and invest wisely through a low-cost ETF that mirrors benchmark S&P. Again the first step is having the money available because you aren’t overspending. The second step in setting up an automated regular investment program and one designed to match benchmark. This is increasingly considered the smartest way to invest, even Warren Buffett recommends this is the best way for consumers to invest, as even he highlights that not only his own guys can beat the S&P 500. For short-term savings goals, money not going towards your long-term retirement goal, we’re also looking to bring in high interest rate savings and GICs to partnerships with banks that offer best-in-class rate. These rates are usually double what the big banks offer. From the business model perspective, we see revenue on this both in terms of subscription revenue, which will touch on later and partner fees. We continue to advance discussions with prospective partners with the goal of announcing one or more partnerships later this year. Being financially healthy isn't just about building your net worth, it’s also about protecting yourself from things can derail it. For example, if you won’t be able to buy a home and qualify for prime mortgage rate, you typically need a credit score of 700 or above. The making sure you are tracking and managing this is important. Outside of just monitoring your scores its also increasingly critical that Canadians protect themselves from identity fraud, again this is in a fraudulent charging your credit card which you are already covered for. This is about helping prevent someone from using your ID to get a credit card under your name or a loan on your name. When this happens, the impact can be severe and something that you personally have to deal within self. Majority of Canadians today don't have a solution like this and we continue to see this is a significant long-term opportunity and a key part of our financial health solution. This is also another product REIT where we see potential partnerships to expand distribution. In the meantime, this continues to be a key driver of our subscription revenue and over time, we also see this product being important part of our premium account option like Mogo. Responsible credit is a fourth pillar in managing your financial health. Our goal to continue to build the most convenient mobile first loan experience in Canada, that gives your members access to not only the best rates but and experiences designed to help them make smarter borrowing decisions all from a mobile app. We continue to enhance our MogoMoney product, including giving people the ability to make additional payments or pay up their entire loan directly from the app. We’ve also made several enhancements to the mobile app onboarding experience that dramatically reduces the friction of applying and getting funded And our development team will continue focusing on enhancing this to continue to ensure we’re on the leading edge of the most convenient mobile first loan experience in Canada. As we discussed in our Q4 call, we see increased opportunities to expand our lending through partnerships who offer products across credit spectrum. These partnerships would allow to their segments in the market we cannot do today because of our cost of capital while generating new fee-based revenue with no impact or balance sheet. There's development work is that is happening to support this so that these partners can leverage our platform to offer their loans to our member base. Again, this is going to enable us to expand our offering and ensure we opt the best rates for our customers and give us the ability to dramatically scale the business. We continue to have constructive partnership discussions in this area with the objective announcing an agreement into this year. So you’re seeing how we are going to be tying these core products together and this brings us to a premium account opportunity. We've been discussing this expansion for some time and as part of this new formula we see an even bigger opportunity for Mogo. For these consumers that are interested in taking their financial game to a whole new level, Mogo will be designed to do just that. Unlike many other subscription services in the marketplace, this one is one in which we think we can show our members a real return on investment, i.e. if you pay $100 a year, you become a gold member, we believe we can help you save many times at. You can see some of the benefits that are contemplated here and this will be something we will continue to enhance and add value to while also testing various different pricing strategies. We are also looking at adding and financial coaching including personalized messages, help and inspire motivate users to stay on track to their goal. There’s unlimited ideas and opportunities to test and iterate with this new product, we’re still working through the timeline where this fits into roadmap but as of now we expect it to happen within the next three or four quarters. From a brand perspective, we believe our focus on financial help also aligns to the general trend we’re seeing across all industries and that’s the trend of mindful consumerism, whether it’s electric cars, recycling less waste, and even food products like beyond meat is all about being more mindful around the impact we make on the planet and the people. Financial help ties into this, as consumers we’re overspending or often spending money on items they don't need, can't afford and it’s the production waste of these products that contribute to many of the global environmental challenges we face. So the more mindful you are around your finances, in your spending, the more you are able to also make sure that you are making the world a better place. Not to mention, the more financially healthy you are, the more you can contribute whether it’s donating to a good cause, volunteering for things that are meaningful to you. We know that it's not just about the products that matter to consumers, in fact recent survey showed that 85% of consumers believe what the products they buy represent are just as an – as important as the quality or design of the product. As part of this new positioning, we've also been preparing a new marketing campaign built around the tagline Money Up. This campaign will be focused on inspiring Canadians around their financial help along with communicating a four-part formula and our specific products. In terms of how we communicate with financial help, we also are developing a more relatable and emotionally engaging way to communicate it with the message, the goal isn’t to look rich, it’s to be rich. We want to democratize the ability for everyone to build wealth and empower Canadians realize that being wealthy isn't just for the 99%.Our Postmedia partnership continues to be a key differentiator and advantage for us as we build our brand and we will be leveraging this to get this new campaign, messaging into the compelling marketplace. The scale of this partnership really gives us an opportunity to get a message out to millions of Canadians, while also building our brand in a very cost-effective way. In terms of our technology platform, our ability to deliver these solutions is underpinned by a mobile first tech platform. We continue to invest in the platform with a total investment now well over $200 million. In the last quarter we made several enhancements to the platform, including many items that will help us deliver on our new partner program. In addition to creating competitive barriers, our technology platform is also made us an increasingly attractive partner. Partners can see first-hand that we offer a best-in-class mobile first experience and we can also help them as they evolve their own platforms to be able to integrate with us. In terms of strategic priorities, as we look ahead of the remainder of 2019, we will continue to focus on three main priorities. All of these are closely aligned. One, expand our product offering with a focus on partner lending MogoWealth a new Mogo spend. Two, continue to focus on revenue growth with a primary focus on subscription and services. This also ties into our product expansion initiatives as well as new products like MoGold and three, also related to these is the expenses of our partnership ecosystem. I’ll now turn the call over to Greg to review the financial results.
Greg Feller: Thanks, Dave and good afternoon. Our strong first quarter results reflect the continued execution of our strategy, strong underlying economics of our products and the significant growth opportunities in front of us. Corer revenue increased by 57% in the first quarter of 2019 and is now increased by more than 50% in each of the past five quarters. Our high-margin subscription services revenue continue to be a key driver increasing by almost 70% in the quarter. Since our IPO just over three years ago, we've completely transformed the revenue makeup of the company to a much greater portion of capital light recurring revenue stream. We also continue to see strong growth of our member base which increased to – over 800,000 during the quarter. Not only are we growing our revenue at a high rate, we are seeing strong year-on-year growth in our adjusted EBITDA which is fueled by strong underlying product economics that are driving high contribution margins. Specifically, adjusted EBITDA reached a record $2.2 million in the quarter, a six-fold increase over last year. In addition, to the dollar growth, this is the fourth quarter in a row of expanding EBITDA margins. For those who follow Mogo, you recall that we exited the short-term lending business in the third quarter of 2018.The core revenue is really a metric to focus on for year-over-year comparisons as that excludes feeds from our legacy short-term lending business in the prior year period. Core revenue reached $16.4 million in the first quarter reflecting strong growth in subscription services revenue, which increased 68% year-over-year as well as increased demand from our MogoMoney product with interest revenue up by 48% in Q1. Within subscription services revenue, MogoProtect in our premium account products continue to be the largest contributors to our growth and give us confidence that as we launch new additional products including MoGold that the solution that Dave spoke about earlier, we expect to see strong demand for these monthly recurring subscription products, given our unique holistic financial health value proposition. There really isn't anyone else in the market with a comparable solution that we see to help consumers manage their financial health. The power of our expanding ecosystem of products and partners as well as best-in-class digital experience is one of the big drivers of what we believe to be the best-in-class marketing efficiency. Our unique marketing partnership with Postmedia is allowing us to be extremely efficient acquiring new members and increasing user engagements. We delivered 57% core revenue growth in Q1 with only 9% of revenue spent on marketing, that was down from 23% in last year's Q1.As we launch new products, we have the unique ability to put a huge marketing push behind them with low cash costs. Not only is our $300 million marketing partnership with Postmedia significant and valuable asset for the company and our shareholders, the potential partners we're talking to also see this is another valuable asset that we bring to the table. Core to our economic model is the underlying contribution dollars and margin of our products. As this is an indicator of the operating leverage inherent in our model as we scale our operation. This quarter we generated record contribution $6 million which represented 37% of revenue. This record contribution along with managing costs and marketing, technology and development in G&A resulted in record quarterly adjusted EBITDA of 2.2 million or 14% of revenue up over 600% for the 300,000 we reported in the same period last year. The other important metric that we focus on is the operating cash flow of the business for investment and loan receivable. This quarter we generated 2.9 million of positive operating cash flow from operations before investment in loans receivable which was a significant improvement over the negative 200,000 cash used in the first quarter of 2018. We expect this metric to stay positive for the remainder of 2019. After accounting for investing activities and the net investment in our loan book after financing, we had total net cash used in the quarter were approximately 4.2 million which was down from 4.9 million in the year earlier quarter. As we discussed on the last call we have multiple dials we can use to manage our cash use and particular the amount of growth we want to achieve in our balance sheet loan book. In addition as we continue to scale our revenue we expect that by the fourth quarter of this year we’ll be cash flow positive net of all investing activities but prior to investment in our loan book and will therefore be able to start self funding a portion of our loan capital from our cash flow. In terms of credit performance our loan book continues to perform well and consistent with our expectations with net charge-offs of 15.4% in the quarter. This compares to 13.7% in last year's first quarter which we've previously said was unusually low. Importantly however, our charge-off rate was down sequentially from 15.8% in Q4. While we continue to see quarter-to-quarter variability we are generally expecting to the net charge-off rate to trend down based on a shift to lower risk installment loan product. Adjusted net loss improved to 4.6 million in Q1 from 4.9 million at the same time last year. We saw accelerating net member growth in the first quarter despite lower absolute marketing spent compared to our most recent Q4. Specifically, we added net members of 52,000 in Q1 versus 45,000 net member additions in Q4. We ended the period with 808,000 members of 34% over last year. Our core average revenue per member increased 16% year-on-year to $84 although was down modestly from Q4 as net member additions accelerated this quarter. In the near term we are placing greater priority on continuing to grow our members and core revenue versus growing our average revenue per member. We expect to see variability quarter-to-quarter in this number. As we expand our product this year and into 2020 we have more opportunities to bring new members in Mogo ecosystem, more ways to add value and build engagement with our growing member base. And more ways to digitally cross sell to increase our average revenue per member over the long run. Longer-term the bigger opportunity for Mogo is affected here in the average revenue per member for the Canadian credit unions of $1,300. We see no reason that Mogo's average revenue per member cannot be significantly higher than where it is today as we provide more digital products as part of a unique holistic financial health platform that effectively replaces the traditional bank offering. As most of you would have seen we had an important development post quarter end with the announcement of our business combination with Difference Capital. This transaction which is subject to shareholder approval significantly strengthens our balance sheet providing immediate access to approximately $9 million in cash, free transaction costs plus an additional 24 million in monetizable assets from Difference’s investment in some of the premier private technology companies of Canada. The transaction which will be completed through one-for-one share change will result in additional net issuance to Mogo's existing 23.5 million basic shares outstanding or approximately 3.2 million shares after accounting for the approximately 2.5 million shares of Mogo the difference currently on. The transaction which has received unanimous recommendation of both Mogo and Difference’s special committees in respect to Board of Directors is a great transaction for both shareholders. As this will also enable different shareholders to participate in the continued growth of Canada's leading, fintech with, the financial resources to execute on our growth plan. The transaction requires the approval of both company shareholders and is expected to close next month. Looking more closely at Mogo's pro forma financial position we’ll have approximately 47 million in total cash and investments bringing our pro forma net corporate debt assuming no conversion of our 12 million of converts to approximately $6 million. In short this transaction significantly strengthens our financial position and gives us greater resources to continue to invest in our platform and new products and grow our members in revenue. As we look ahead to 2019 and beyond we have multiple important growth drivers this year, led by strategic partnerships for new best-in-class fee based product as well as partnerships for MogoMoney. In addition we remain excited about the opportunity for our new Mogo spend account in cash back card to make an important impact in improving the financial lives of Canadian. These partnerships and products will create significant new revenue streams for the company and provide more opportunities to both expand our member base and monetize it further solidifying our position as a leading mobile first digital challenger to the banks in Canada. That concludes our formal remarks and we’ll now pass it over to the operator to open it up for questions.
Operator: [Operator Instructions] Your first question is from Nik Priebe from BMO Capital Markets. Nik, please go ahead.
Nik Priebe: I just want to start with a question on the subscription and service revenue line item. A strong piece of growth experienced in 2018. When you look at it on a quarter-over-quarter basis, a bit of a smaller step up that we've experienced in prior quarters. Just wanting to get a bit -- if you can give us some color and some of the puts and takes and what products are sort of larger contributors to growth, or whether there are any offsets we should be aware on that line item?
David Feller: Yes, thanks Nik. So yes, so if you look at our financials what we were very focused on this quarter which was obviously free visibility into the different transaction was really managing our cash resources, managing our capital and the bias towards really sort of path to cash flow positive and profitability. So obviously we saw continued decline in our absolute marketing spend so investment dollars is going in to drive growth. We effectively decreased and that obviously has an impact in driving overall topline revenue. And I think that we still obviously manage to see strong year-over-year growth, but as you say some of that growth was slower this quarter than in other quarters and we think that's really a reflection of that lower investment. Obviously as we come to close the Difference transaction which is targeted to closed by the end of this quarter, our plan is obviously to start ramping backup and in growth given that we’re going to have the additional capital resources to be able to do that. Just one other comment our net loan originations were down in the quarter. We've got a very high attachment rate to our premium account in that which obviously impacts that and that was part of what you saw. Also as we look at going forward and look at some of the partnerships even on the MogoMoney side, there's obviously a lot of opportunities there to drive growth with less capital and then still have the ability to start attaching the product to it.
Nik Priebe: And then just sort of talking on the operating expenses, it sounds like you might be inclined to ramp up marketing spend, which was a bit lower in the last few quarters once the Difference Capital transaction is completed. So -- I mean, looking at the other items, technology development spending, customer service operation and G&A, would Q1 be kind of a good clean number to sort of establish a base of expectations for the remainder of the year? Or are there any seasonal elements that are onetime -- items that we should be aware of going forward?
Greg Feller: Yes, I think effectively yes it would be with the - one that we are obviously focused on increasing is marketing. Obviously we've got very low marketing relative to our growth, marketing spend which is great, but there's obviously a lot more room there to increase that and drive higher growth. And we think the bias now as we look to close this transaction is going to be really demonstrating positive accelerating growth so that's what we’re focused on. Obviously we’re going to maintain a focus on remaining EBITDA positive and I have also commented that our goal remains that by Q4 we’re cash flow positive net of all investments excluding investment in the loan book so that we start self funding it. So we’re still going to be managing for that as well, but otherwise yes on the OpEx side I think Q1 would be a good base for those with the exception of marketing.
Nik Priebe: And then maybe one last one for me before I pass the line. Perhaps it's a bit premature to ask this but just with the closing of the Difference Capital transaction expected within the next month, do you sort of have a timeline envisioned for the monetization of the portfolio that you will be acquiring with that acquisition?
David Feller: So our goal is that the next 24 months after close of the transaction to monetize the majority of the portfolio is obviously hard to completely predict, but our goal is also to start having a that monetization happened over that - not just all back ended but actually have a cadence to it. So obviously as we close the transaction and that get more visibility into we will have more color in it, but again, the goal is really to monetize the majority of that portfolio within the 24 months after closing.
Operator: Your next question is from Scott Buck from Riley FBR. Scott, please go ahead.
Scott Buck: I was hoping to talk a little bit about the transaction curious, post-close, how you are prioritizing capital use, is it you know, originations, the paper some of the marketing spend, additional product development. I'm sure it's all of the above but does come how are you thinking about that?
David Feller: Yes I think there - it's really mostly on the marketing side and there's going to be some investment in technology and development as well but I think the bigger increase you are going to see is on the marketing side, so that's kind of how we’re how looking at that as far. I think we feel fairly good about at a rough level where our G&A in our customer service and operations spend is today, but we are going to look at for instance on the technology and development side of potentially expanding our product teams there on the development side, which gives us in of the ability to work on more things in parallel but the number one marketing and then the number two technology and development.
Scott Buck: And then in terms of the IVC portfolio, is there anything in there that you may have some strategic value to you guys from a technology standpoint or are there investments in there that you would look to actually hold on to beyond the 24 months?
David Feller: There may be some investments in there that could be potential partners of ours but really that's not the focus of the rationale for it and we don't think having an investment in those companies is necessary for those to be relevant partners for us, so our bias monetizing the entire portfolio as long as we can you get what we believe is its fair value for them. We’re in no rush to do it but again our bias is to monetize portfolio not hold onto anything.
Operator: [Operator Instructions] Your next question is from Lisa Thompson from Zacks Investment Research. Lisa, please go ahead.
Lisa Thompson: I just want to ask the question about Difference Capital, what is going to be the incremental expenses from owning that portfolio going forward?
Greg Feller: So, yeah, so we are looking at – we’re to have a few people helping us monetize that portfolio from Difference Capital and they're going to stay on for a period of time but the majority of the OpEx that Difference has are really related to quite frankly being a public company and we think that the majority of that OpEx will be able to eliminate pretty quickly, so there's going to be some incremental OpEx but we don't think it's going to be material.
Lisa Thompson: Can you give us the number just to help for the model?
Greg Feller: Yes, I don't think were quite ready to give that number but soon as we are we will communicate that.
Lisa Thompson: And is that going to be like a flat number or are they going to kind of get commissions when they scale off of part of it or how its going to last….
Greg Feller: I will be a flat number you know, there'll probably be incentives for monetizations above book value but it would be incentives for again above what the current book value is that we’re putting on our balance sheet.
Lisa Thompson: And they continued to do valuation on that – have it mark-to-market every quarter?
Greg Feller: Yes. We will continue to mark those assets on a mark-to-market basis every quarter.
Lisa Thompson: And I guess my last question is referring to MoGold, can you kind of describe what is going to be like the big attraction for somebody says, oh yes, I’ll pay $100 a year because I am going to get XYZ, what are you indulging to be the real driver?
David Feller: So, this is Dave. There is going to be – at the end of the day its going to be a combined value proposition, but right off the bat ID fraud protection which is actually right now we’re charging $9 a month is actually going to be included in MoGold and again that's a tentative pricing model i.e. discount if you do it annually. Currently in the marketplace, typically you could spend easily $15 a month that’s $180 you're just for identity fraud protection. From there we’re planning on adding in a bunch of other features as you can see in there. We’re also even considering a different tier in terms of cashback for the card, right. So obviously right now we have a cash back on the card. There is no tier. So the gold could also have a higher tier for the cash back. And then there's going to increasingly be a whole bunch of features, right, could be more insight in analytics on your card spending, other features in terms of content, ongoing kind of financial coaching. Whole bunch of you could call it kind of digital content related pieces that will be part of this kind of MoGold offering. Along with things like a discount on mortgage, we’re also looking at no trading fees, I would say for example, we charge a 1% trading fee on bitcoin. In this case it will be no trading fee if you have the subscription. So there’s going to be a whole bunch of things that we’re going to continue to test to kind of find that right pricing value prop versus features.
Operator: [Operator Instructions] We have a follow-up question from Scott Buck from Riley FBR. Scott, please go ahead.
Scott Buck: It looks like another quarter of a strong member growth. I was curious whether it's a particular product or service that’s attracting these members or whether maybe it's a new demographic that you guys are starting to reach. So I am just curious where the membership growth is coming from?
David Feller: So yes I would say, it it's been a pretty kind of consistent just trend in terms of our member numbers, we’re obviously highlighting this presentation are kind of new positioning and some of the new messaging and that that we’re going to be going out with and one of things we obviously seen is typically as we launch other product then you start bringing in a different type of customers well. I would say we continue to see a slight an ongoing evolution in terms of the demographic makeup of our members, right. The - traditionally if you looked years ago, would've been more of that kind of subprime customer was increasingly we’re focusing on more of the increasingly the prime consumer, of which the vast majority of Canadians are over 70% of Canadians are in that kind of prime category. So obviously, as we bring in products even like high interest rates savings account, well some of these other products that could maybe appeal more to that type of the demographic, we expect to continue to see that membership. But generally it's been pretty consistent and obviously, it's also reflected in just our continued awareness in terms of our marketing to Postmedia and just to the general kind of brand awareness as well and that ongoing kind of shift in terms of how people see Mogo. Some people saw Mogo years ago as a short-term vendor and that takes time before increasingly their starting to see these new products and see us increasingly as for example, offering services like MogoProtect.
Operator: Thank you. There are no further questions at this time. Please proceed.
David Feller: Okay, well thanks for your time and we look forward to updating you following Q2.
Operator: Ladies and gentlemen, this concludes your conference call today. We thank you for participating and ask that you please disconnect your lines.